Serge Van Herck: So good morning. Welcome to our EVS Update on our Fiscal Year 2024. I’m very happy to see all of you here around the table, this team’s goal of today. But before we dive into the material of today, let me do some technical details. So first, questions can be raised at the end of our call. We will not look at the chat. So please, spare your questions for the end of the call. Raise your hand at that moment in time so that we can give you the microphone, and please mute yourself during this presentation, of course. And I look forward in detail to spend the next one hour and a half with you. So let’s start here in detail with our update and I’ll give the floor to Veerle to give us an update on where we are regarding a disclaimer.
Veerle De Wit: Thank you, Serge. Allow me to start by mentioning that this presentation next to our 2024 performance also contains some forward-looking statements. These statements are based on our current expectation and management’s belief or assessment of the environment that we operate in. We do declare that these statements are subject to a number of risks and uncertainties that could lead to materially different statements in the future. We will elaborate on some of these risks during the presentation, but there may also be other risks in the market that could affect our statements that we do not explicitly comment on. These risks contain potentially technology changes, new market requirements, pricing pressure from competition or anything of that kind. EVS takes no obligation of publicly reviewing the forward-looking statements should these risks materialize.
Serge Van Herck: Thank you, Veerle, for the update on the disclaimer. So what will we be talking about today? Well, of course, we’ll have a look at our business update. Veerle will talk about financial update. We’ll also look into the future with our outlook and then we’ll come to our conclusions. And after that, we will give you the opportunity to ask questions and we’ll try to provide the right answers at that moment in time. So let us start by our business update. Well, 2024 was, of course, a great year for EVS. You all know that we have been celebrating 30 years of innovation and customer intimacy. And when we look on the next slide, we’re quite happy to see that although we are now 30 years older, we see that over the last four years, we’ve been able to deliver revenue records year-after-year. And indeed, as you can see here, 2024, we are achieving a new record result with a revenue of €198 million. So we’re quite pleased, of course, with such a result, which shows that our PlayForward strategy that we developed in 2019, beginning 2020, is definitely bearing its fruits now for several years in a row and we definitely also have ambition to continue that growth curve. Talking about a few other important financial KPIs, I’ll leave the word to Veerle.
Veerle De Wit: Yes. And indeed, the 30 years of EVS mark again another record high. First of all, when we look at our order book, we have an order book in total that equals €163.5 million. This is a growth of 6.7% and we see a similar growth actually for the order book that is reserved for the year 2025, that is also growing to with a 6.5% to a total of €107 million. So for 2025, today, we secured a revenue number of €107 million. If we look at our revenue, as mentioned by Serge, so €198 million revenue number, it’s a 14.3%. Yes, we did benefit from some Big Event Rental revenue in that number. So but even if we exclude that we see a revenue growing at 5.1% year-over-year. \ Those revenue numbers were actually associated with a very strong net profit. Net profit ends at 42.8% -- €42.8 million growing with 15.7% year-over-year. And that net profit is also influenced by a very strong financial income and relatively low tax rates. The low tax rates are a result of some deferred tax benefits of the acquisition that we did earlier in 2024 for MOG Technologies in Portugal, they had quite some deferred tax losses and latencies with regard to tax deductions for R&D, which made our tax results quite low. We ended the year in terms of FTE, so team member equivalent at 704.5 FTE. It’s a growth of 13.3%, a total of 82.5 FTE growth, of which 42 FTE are linked to EVS Portugal.
Serge Van Herck: Thank you, Veerle, for that overview of those major KPIs. So let’s go to the next slide and have a look to our major messages that we want to bring across today. So when we look to our results of 2024, we are we’re happy to say that we feel we are on our way to reach our ambitious 2030 growth objectives, which we typically say is our BHAG and audacious goal. We’ll go on deeper in detail in one of the next slides, but definitely we feel that we are on the right path. When we look to market and customers, we definitely are happy to see that we’ve been able to successfully deliver those major Big Events in 2024 that happened in Europe, which is not only very good on a technical level, but also on a marketing level. Customers from around the world see our technologies being used during those Big Events, and that’s also a commercial opportunity for us to show our latest and greatest technology to customers around the world. We see that we’ve further gained market share. We definitely won some important large projects, and we see that our pipeline for 2025 is stronger than ever. Again, we’ll have a slide on that explaining you more detail on how we see that pipeline growing. Another important element of our strategy that we see happening, and which is a very nice proof point, is the fact that our channel partner focus is indeed delivering quite some further growth. So, we’ll talk about that later on as well, but you’re quite happy to see that that part of our PlayForward strategy is also delivering on its expectations. We have been able to further confirm with our customers that we are a trusted partner, and especially when we see that certain competitors are diverting from the premium broadcast industry, and where we also see that our NPS, our Net Promoter Score, which is measured by an external party, is further increasing. So, we definitely can say that we’re in the top 10% of companies in our industry when it comes to NPS and we see that now also for four years in a row we’re growing it. VIA-MAP, remember that has been an important investment we’ve been doing over the last years, is now live with customers in the three regions that we have in the world. Quite happy to see that, and we also see quite some interest in pipeline creation, thanks to the introduction of VIA-MAP worldwide. And last but not least, when we talk about markets and customers, we are happy to see that we have a significant growth in NALA, while we had growth in all our regions, but the biggest growth definitely comes from North America, and when we look to the type of customers, we see that the biggest growth comes from LAB customers. So, LAB standing for Life Audience Business Customers. So, in line with our strategy, we see that this growth is happening in North America, and mostly also with our LAB customers. When we talk about technologies, although our strategy is one of customer intimacy, technology is key for us to make a difference. Last year, we’ve continuously further expanding our XTRAMOTION capabilities by adding other generative AI effects for blurring and for deblurring the background, which is helping our customers to further improve the level of emotion they bring to the screen and that is really a very big advantage for our customers. They are really using this more and more all over the world to further increase the emotion effectively they bring to the screen. We’ve seen our three main solutions extensively being used during those Big Events in 2024, which is, of course, a very good sign. We had no technical issues and the customers from around the world, again, saw our different solutions at work, and that is creating new opportunities for us. With the acquisition of MOG Technologies in the Porto, we’ve been adding new components, technology components and some products, which will further help us to strengthen our MediaCeption family. Happy to see that happening as we speak. And, of course, we continue to invest in evolving technologies to make sure that with our technologies and solutions, we stay ahead of the curve. Talking about corporate topics, a few important elements. Try to say that now for three years in a row, we have received the top employer certification, which shows that we put a lot of focus on making sure that our team members feel fully committed and engaged at EVS. With the acquisition of MOG, we’ve extended our capabilities and MediaCeption, and with the investment in TinkerList, where we took a minority participation, we’re also adding capabilities to our MediaCeption environment. We continue -- we also continued focusing on ESG, of course, as this is part of our DNA, and we’ll talk about that in a slide later on as well. Cost control has been further reinforced as a standard practice, and last but not least, we are further expanding our U.S. team to drive our future growth, which we believe will come for a big part also from North America. Talking about shareholder topics, I’m happy to report, of course, a record revenue in four years in a row. Happy to see that order book further growing and a strong profit generation, while you’ll see as well that we’ve been able to generate quite some cash. Delivering a strong EPS, €3.02, which is a nice growth compared to the €2.6 of last year. We see a total shareholder return for those last years that is nicely growing. And last but not least, we recently agreed with our Board a balanced capital allocation strategy to make sure that we use our capabilities, our resources into organic investments, and M&A in dividends, and if possible, also in share buybacks. So we have a clear view on how we want to use our capital for those next years. And all of that brings me to the next slide, BHAG, and that is to become the number one solution provider in the live video industry, with an objective of reaching at least €350 million revenue in 2030, and also still delivering a strong profitability at the same time. The strategy that we implement is still the same. It’s a PlayForward strategy, which is really focusing on customer intimacy. So that means that we are making sure that we deliver solutions to our customers and even now an ecosystem that makes sure that it’s answering to their most complicated needs, and also make sure that they know they can fully rely on our systems to be always on there without any glitch, because reliability in our industry for our customers is of course still the most important value that we bring forward. And for the other elements, you see indeed our business model, which is evolving from CapEx only to more OpEx and on-demand. We’ve also seen our SLA revenues are growing nicely in that OpEx environment. Our strategy was to move from only or mainly in OBVans, those truck environments that you know that we were very strong in and still are very strong today, to also growing more into a broadcast center. So that is absolutely what we see happening with a growth of revenues with our Live Audience Business customers. From going to EVS hardware to more software and Software-as-a-Service, that evolution is also happening. Although we are not forcing our customers to go that way, we are giving the opportunity to choose to our customers and we see a nice evolving trend. And last but not least, of course, going from sport only to more and more entertainment and news. And you’ve seen a different announcement about the new important news customers joining us. But we also see more and more customers in the digital environment. So think of a YouTube environment, for instance, where more and more demand is being created for our solutions. So, all in all, we are definitely happy to see that our strategy is delivering on the expected growth results and we hope indeed that this will continue over the next years. And talking about that, I think, Benoît, you will take the next slide to talk us through those major trends that we see happening in our industry.
Benoît Quirynen: Thank you, Serge. Yeah, the market trends are globally positive for EVS. There is a growing demand and a growing supply of live even productions. The slight decrease of linear TV revenue is overcompensated by streaming revenue, resulting in a slight revenue growth. And the streaming players are demanding more and more productions, and especially more live productions. And the power of the live sports events to attract eyeballs has been recently confirmed by the Netflix Live Boxing event with Mike Tyson, if you remember, in November. And the day before this event, Netflix did multiply by 10, by 10, the daily addition of new subscribers in U.S. And Netflix is not an exception. More and more streamers are buying sports media rights. Second, the client consolidation goes on, not only in terms of financials, but also in terms of operating model. Let’s take the example of the different regional bureaus of Al Jazeera. Before, each bureau was autonomous and was buying its own local solution. And they recently decided to invest in a common solution, federating all these different bureaus for the sake of higher efficiency. This kind of multi-site, multi-region solution is typically offered and supported by large vendors as EVS. In terms of technologies, live IP, software, AI continue to be disseminated within the media production facilities. EVS is active on all these fronts and EVS is definitely even a leader in broadcast-specific GenAI models. End of last year, we did launch a new GenAI-based effect beside the well-known XTRAMOTION. And as anybody can see on all screens today, we can also observe a possible change of macroeconomic context since the beginning of this year. On one hand, these changes are raising potential risks and we will address these later, but on the other hand, the appetite for the U.S. President for being present in the headlines also maintains and even increases the audience of news programs in general. And finally, ESG remains a hot topic for our customers, directly or indirectly. We spend significant R&D effort on the reduction of the carbon footprint and even in the regions less sensitive to ESG concept, our customers are still receiving very well any kind of OpEx cost saving that are related with energy savings. So if we go on the next slide, we can see that we continue to deploy our three solutions in the three regions. First, we have the example of EVS LiveCeption that has been deployed for full remote production for the Premiership Women’s Rugby in England. Thanks to EVS technology, remote production, GenAI-based XTRAMOTION, the audience can enjoy Tier 1 quality of production based on Tier 2 OpEx cost. On the MediaCeption front, as already discussed, Al Jazeera did deploy VIA-MAP in a distributed configuration environment among the different bureaus, helping the production team to manage content seamlessly within the different bureaus and leveraging efficiency optimized web applications for all the tasks related to content production. On the MediaInfra side, thanks to an EVS channel partner, a large bank in U.S. is deploying, as we speak, the largest EVS MediaInfrastructure at this time. The customer will benefit from the full flexibility and efficiency of the solution composed of Neuron and Cerebrum, and they will be able to produce internal communication and their regular external events with a broadcast-grade quality. And speaking about channel partners, we continue as well to expand our network of channel partners. We are now reaching more than 150 companies. These channel partners help us to address new market segments, as the large U.S. bank I was referring to in the previous slide. These channel partners are managed by dedicated team members, so we have a dedicated workforce to manage this new kind of go-to-market. It has to be noticed that the channel partners have been the main contributors in the increase of the order intake between 2023 and 2024. That achievement is a proof point of the success of the transformation of our go-to-market, with our willingness to move the cursor towards more indirect sales, focusing on loyal and sustainable relationships with these channel partners. And now, back to Serge to explain the way our solution did impact the major events during last summer.
Serge Van Herck: Yes. Thank you, Benoît. So, let’s come back for a moment to those major sporting events and we like to say that they are the ideal storefront for EVS solutions, and especially this year, as we’ve seen all our solutions being used, be it LiveCeption, MediaCeption and MediaInfrastructure, so the bigger families, and then some other products like XStore and MediaHub. So, this is definitely always major opportunities for us to demonstrate our latest and greatest technologies, and we are happy indeed that the achievements are definitely on a technical level were effectively noticed by many customers around the world. So, that bodes well for the future. Going to the next slide, I come back also to how we see the future, and especially the one about growing our TAM and how our strategy is applied to that. This slide was also used during our Investor Day at the end of last year, so I’m sure you will recognize that. And indeed, what we are trying to do with our strategy is making sure that we further gain market share in MediaCeption and in MediaInfrastructure. We definitely see headroom for additional growth on those asset management and MediaInfrastructure solutions, and we also expect that our LiveCeption solution will continue to be quite strong and resilient. That is definitely what we expect. With the plans that we have for further acquisitions, we expect to further strengthen our position in those markets or in those family environments, let’s call it that way. But for the future, also add some other capabilities. It might be cameras, it might be linked to audio, it might be linked to graphics or others, and there we definitely see opportunities in the future to expand in that environment. But if we look back to what we’ve done on the next slide in 2024, regarding acquisitions and transactions, we did two of them. The first one was the acquisition of MOG in Portugal, which is definitely important to further grow the team and grow our capabilities and developments with that very knowledgeable team in Portugal. And next to that, we acquired a minority participation and ticker list, which is based in Belgium. And as you can see on the right hand side, we -- again, we explained that during the Investor Day, you can see how this nicely complements our different solutions that we have in the MediaCeption. Going to the next slide, an important word on the focus for North America. So you hear say that we will continue to invest more to accelerate our growth. So we have an important hiring plan ongoing at this moment in time to expand our team, mainly for commercial activities and local support. Why do we do that? Well, we see the growth happening when we look to our order intake. We’ve seen that our order intake over those last five years has tripled. So we see that going absolutely in the right direction. We see our revenue growing there as well and we still see a lot of opportunities in that market to further grow our presence. We also know that in 2026 and 2028, there will be important major summer events in North America. So we’re also convinced that this will generate quite some opportunities in those next months and years. And in that respect, we decided effectively to accelerate our growth by hiring and adding more capability to our team in North America. Going to the next slide, an important topic we discussed before that we’re very proud of is that the results of our Engagement Survey and the fact that we are, again, a top employer consequently in Belgium for three years in a row. To cut a long story short, we’re happy to see that 92% of our colleagues think that EVS is a great place to work. So we’ve seen those results going up for those last years, and they’re being confirmed still as we speak. Going to ESG, which is the next slide, I will hand over to Veerle.
Veerle De Wit: Yes. Thank you, Serge. And ESG, as already mentioned before, it remains a very important topic for us, and we try to manage it really from a holistic point of view at EVS. There’s a couple of initiatives that we find really important, like, for instance, minimizing the impact of our solutions on carbon footprint. Obviously, a sustainable workplace is very important for us as well. It also contributes to our top employer certificate, obviously. A more sustainable supply chain is definitely also something that we focus on a lot. So a lot of our top suppliers or all of our top suppliers are actually requested to certify through Ecovadis, and they need to reach a minimum level of satisfaction in terms of ESG management. And then also social responsibility is definitely high up on our agenda, again, contributing to that Engagement Survey results that Serge was mentioning. These are not the only topics. Obviously, governance remains also important for us, but these are the most relevant for us as a company in our industry and so they are worth to be mentioned specifically. If we move to the next slide, we want to call out some main risks. Obviously, we act in a global economy that by default implies that there are always some risks. We all know that there are quite some geopolitical tensions at this point in time, and that there is a continuous impact of supply of components and inflation that can influence either our business model and potentially also our results. The supply of the components definitely puts a strain on our inventory management. It is not new. Since a couple of years now, we ensure a very tight control over our inventory to ensure that we can deliver our customers in time and we obviously also closely monitor any price increases linked to the supply of our components as to make sure that we adapt our sales price strategy to that and to those evolutions. Next to that, recent discussions about potential U.S. tariffs are being closely followed up. EVS is preparing actually multiple scenarios should any of those tariffs be called upon us. In that context, we may decide to relocate potentially part of our production activities and we will for sure validate the impact of tariffs on our price setting as well. We naturally also closely monitor our competitive landscape, but from that point of view, with what we know today in terms of U.S. tariffs, we rather see a competitive advantage to us than a disadvantage at this point in time. Again, this may change. And at last but not least, we definitely closely monitor inflation and the impact of the inflation on our cost base as to ensure and optimize our financial stability.
Serge Van Herck: Thank you, Veerle. And that concludes the first part of our presentation here, which is our business update. And I’ll come back to you, Veerle, to start that financial update in more detail.
Veerle De Wit: Yes. And from a financial point of view, let’s first take a look at our topline performance. If we look at our order intake, I think we close again the year with a very strong order intake. It’s an order intake equaling €208.6 million, which is a growth of 8.2% compared to last year. The order intake outpaces the revenue, which by default makes us growing our order book as well, which is definitely something that we strive to do by design and it perfectly worked out in 2024. The good thing is to see that all regions actually contributed to this strong inter -- order intake result, but definitely with North America and NALA leading the pack, which is again one of our strategic drives and good to see that this is coming in as we hoped. Also, LAB order intake is accelerating, as mentioned already by Serge before. From a revenue point of view, we already mentioned quite a lot of elements here. So, we close at €198 million, which is again good to see is that all of the regions actually contributed to that growth. So, we have growth in every region that we track. And again, with NALA demonstrating the biggest growth and also LAB business driving the growth from a market pillar perspective next to Big Event Rentals, obviously, because we’re comparing towards 2023, which had no Big Event Rental revenue. And then resulting in the order book, as mentioned already, we see an order book of €163.5 million, growing 6.7% year-over-year and we see that order book growing from a year-over-year perspective with €10.3 million. As mentioned, the secured sales for 2025 start strong at €107 million. And also our visibility for future years is increasing with similar numbers. So, we have secured sales for 2026 and beyond of €56.5 million. Going back to that revenue analysis, we like to show you the evolution from 2022 to 2023 to 2024 in terms of market pillar performance, but also in terms of regional performance. And again, for us, we definitely see proof points of our strategy in action here. We see the continued expansion of our LAB business, as mentioned, the general broadcasters, which is a strategic pillar for us. We have been growing over two years then with 46% our LAB business up to €104 million in 2024. Second big strategy is the growth in the NALA region, and again, also there, we grow our turnover over the past two years, growing actually from €51 million in 2022 to up to €63 million in 2024, and again, with the order intake results of 2024, we also expect to see a continuous trend here in 2025. And finally, increasing our recurring services revenue. It’s not necessarily in the graphs, but we do see that our SLA is growing systematically still and it has been growing actually by 62% over the last two years. If we move to the profitability point of view, again, a couple of measures here for everyone. From a gross margin point of view, we achieve a gross margin performance of 72.3% over the full year 2024. It is growing 2.6 points, which is quite an impressive growth. Part of that growth is linked to the change in accounting policy that we had for internal assets. In 2023, internal assets were reported in the gross margin. We have changed that in 2024 and have moved that impact as a CapEx with a depreciation in our OpEx line. There’s no overall P&L impact, but obviously it does influence the gross margin and the OpEx performance. If we neutralize for this effect, we actually improve our gross margin by 1.7 points year-over-year. And we’re very happy to see that that margin improvement of 1.7 points is across all of our solutions, which means that we have a very good balance between our sales price increases and our cost of component increases by solution and we continue to have this as a focus point. It’s by design that we want to reach that balance, but obviously it’s good to see it in reality as well. If we look at our operating expenses, we consider that we have been, yes, growing our operating expenses, but it’s a well-managed growth, meaning that it’s a growth following strategic decisions that we have made as a leadership team and as a Board. We have an operating expense, including other revenue and expenses and ESOP of €98.1 million and it is growing at 23.4%. That growth is explained by different drivers. First of all, we did invest in additional team members. There’s about 43 team members that joined or FTE that joined throughout the year 2024. As explained just before, we have the depreciation of internal assets that is now reported in OpEx instead of in the gross margin. We have a write-off of €1.1 million of internal assets that we actually built up in the past and that we had to write off at once. We come back to that later on. And obviously, we integrated EVS Porto in the fourth quarter of 2024, also explaining the growth drivers. There’s some one-off costs linked into our team in 2024 P&L as well, linked to the 30 years celebration. That well-balanced or well-managed growth in operating expenses together with the revenue leads us to an EBIT performance, so earnings before interest and taxes of €45 million. It’s growing 9.5% year-over-year. It generates a 22.7% EBIT margin, which is definitely in line with what we model for as a company like EVS. The net profit is also worth mentioning. We concluded net profit of €42.9 million, generating a 21.7% net margin. That one is growing 16% -- 16.1%, to be precise, year-over-year. And it also results in the earnings per share or diluted earnings per share, as mentioned by Serge earlier on, of €3.02, growing €0.36 per year. If we look at the financial structure, so that is rather the balance sheet also there, we have some very nice results. We have a stellar growth in our net cash position. We end our year 2024 with a net cash position of €74.9 million. It’s a growth of 104.6%. It’s basically generated by record-breaking net operating cash flow of €63.9 million, and then partially offset by some investing activities in intangible and tangible assets and in business acquisitions, but also in cash used for finance activities, meaning the dividend payment and reimbursement of lease liabilities and borrowings. But it’s definitely a very, very strong cash position. If we look at networking capital, despite the strong growth in our activities, we have been able to balance our networking capital. We ended the year 2023 at €19 million. 2024, we end at €91.5 million, which is merely a 2% growth. We have demonstrated considerable improvement in collection of our receivables and that improvement is offset by a very slight increase in inventories of €1.5 million to support the growth activities. If we look at inventory ratio to sales, we have been improving also inventory ratio per sales up to 17%, coming from 19% previously. And looking at the working capital ratio versus sales, we see a good improvement there of about 6 points. Last year, 2023, we ended at 52% working capital to sales. This year, we brought it down to like 46% end of 2024. And this is definitely primarily the result of control over our trade receivables. And you see the trade receivables, they end at €67.3 million, which is actually flat year-over-year, despite, again, quite an important growth in our activities. And this is a result of an optimization, actually, of our process. We considerably improved our collection process. And definitely, it’s not only a total result in terms of trade receivables, but we also considerably improved the constitution or the aging structure of our receivables. We have actually 76% of the receivables that are current at the end of 2024, meaning that 67% of that €67 million is actually not yet due, which is, I believe, a very, very strong position to be in. If we move to the next slide and this is the slide where we detail a little bit our intangible assets and the impact of IAS38 on our intangible assets. If you remember well, we actually launched two intangible asset projects in 2022. The first project was announced actually in September 2023. It was a launch of VIA-MAP, which was definitely the most important project of the that we constituted over the past few years. And this meant that we ended the constitution of the intangible assets in the fourth quarter of 2023 and that we started depreciation as of then, which is obviously also contributing to the OpEx growth year-over-year. The quarterly depreciation of this project is now scheduled over a five-year period at around €0.5 million a quarter. The second project that we launched in 2022, which was much smaller, but we had to actually accelerate the depreciation or write-off the actual intangible that we created over the past years, following a change in our go-to-market strategy and some other external factors. The intangible that was created over those three years was worth €1.1 million, and the reason why we had to write this off is that we were actually no longer respecting, due to the change in the go-to-market strategy, the IAS38 requirements. The developments on itself are not in vain, but the product as a basis of this development will no longer be launched and considered as a standalone product, rather as a component of the VIA-MAP, and as such, the return on investment can technically no longer be measured, which means that a write-off was forced upon. And perhaps I give the word to Benoît, two seconds, to explain why there was this change in the go-to-market strategy.
Benoît Quirynen: Yes. Thank you, Veerle. In fact, what we see is that the MediaHub solution and the VIA-MAP solutions are more and more intricate with each other. In fact, they are using more and more common solution components. So, technically, it’s difficult to say that this component is developed for VIA-MAP or for MediaHub only. In fact, we want to reuse as much as we can the components to, let’s say, serve the best of our customers. And in fact, that’s for sure that MediaHub is still used in SaaS and we delivered many, many events on our MediaHub SaaS platform during 2024. So, that means it’s not a question of, let’s say, disinterest of the market, it’s just a question of financial technical aspects, the ability to distinguish one from the other.
Veerle De Wit: Yes. Thank you, Benoît. In 2024, we also launched a third project that actually contributes to our further increase of our intangible asset creation. The impact on the overall capitalization is of €1 million for the full year 2024 and depreciation is proposed -- expected to start end of 2026 or beginning of 2027. We always analyze further projects to see if we fall within the requirements of IAS38, yes or no. Finally, a word on the share buyback. So, in November 2024, we launched a share buyback program. The project was announced for a total worth of €10 million. And actually, per February 14th, so last week Friday, we bought back around 176,900 -- 176,891 shares at an average price of €30.65. This represents in total €5.4 million of share buyback. It means that we executed around 54% of our total program and just to mention that EVS currently owns around 6.9 treasury shares, just below €1 million.
Serge Van Herck: Thank you, Veerle. So, that concludes the part about financial update. Let’s have a look to the future and outlook. So, you’ve heard us -- you heard me saying that our commercial pipeline has never been so strong. Well, here you can see indeed, an overview of our commercial pipeline, how it has been evolving over the last years. And we see that when we measure that on the first of every year, we see that since 2019, compared to where we are today, well, we are multiplying that commercial pipeline by two. So, we definitely see an acceleration of that pipeline since 2023 and we nicely see that this is indeed continuing. So, this bodes well for the future. And that brings me indeed to the next slide, Veerle, that you will explain about outlook and guidance.
Veerle De Wit: Yes. Exactly. So, yes, our outlook for 2025 is based on a couple of important metrics. So, as mentioned already, we start the year 2025 with a total order book to be delivered in 2025, €107 million, which has actually already grown 6.6% compared to the beginning of 2024. And next to that, as mentioned by Serge, we have a very strong pipe that is demonstrating a growth of 18% compared to the same period last year. And those two drivers actually allow us to position a revenue guidance for the year 2025 that is set between €195 million and €210 million. In terms of costs, we’re not setting a guidance at this point in time. So, our EBIT guidance will actually follow in May of this year after announcements of our Q1 results. But we can already say that we do target very specific further investments in North America as to accelerate our objectives. Just as Serge was mentioning earlier on, we have the objective or the strategy is to double down in North America. And so, those investments will be prioritized to increase pre-sales, sales and customer service departments to capture the growth potential of that area. Next to that investment, we have quite some control over our base expenses and our launching specific programs to make sure that we limit the growth from our base, spend base.
Serge Van Herck: And before you go to the next slide, Veerle, let me add again how important this is -- this revenue guidance that we give. EVS was known for those even and uneven years. I think that here we are trying to state clearly that we hope that next year we’ll continue growth even and an uneven year. So, we are quite positive about our capability to do this again in this uneven year where there will be no Big Events happened. But definitely, we’re cautiously optimistic in the potential growth compared to 2024 indeed.
Veerle De Wit: Yes. If we look at the next slide, which is our route to our BHAG, you might have seen this slide before as well in one of our Investor Days. So, our BHAG of achieving €350 million by 2030. And you just -- we just show again that we will reconfirm organic growth in 2025. So, definitely from an organic point of view, we do see that we’re enroute on our BHAG and that we can actually gain market share. So, as mentioned, if we look at our objective of 2030, we expect that we can be somewhere in the range of €270 million to €80 million [ph] from an organic point of view. And then, as mentioned already, I think we have the financial power to also execute on our M&A strategy and we will continue to do so. And the goal is that this M&A strategy by 2030 can drive an additional €670 million to €80 million [ph] to achieve the €350 million in total by 2030. If we look at the profitability that we project with that BHAG, I think it’s also an important measure that we can share. So, profit margins, we expect them to remain quite stable. There is an impact of the mix of solutions. The mix of solutions with growing portion of MediaCeption and MediaInfra may dilute actually our profit margins. But on the other hand, we see this dilution being compensated by increasing software content in our solutions, and obviously, also by our pricing power. And we’ve been able to demonstrate that we can also gain profit margin by exercising the right pricing power in the market. So, from a profit margins point of view, we expect stable margins with that BHAG. From an EBIT margin, we systematically model the EBIT margins to be around 22%. Organically, we may expect some leverage or operational leverage, but that is bound to be influenced then a little bit negative by acquisitions. So, also there, we expect that model to be around 22%. And as mentioned in the beginning, we have laid out a capital allocation framework that will be applicable as from 2025. We really thought that it was important to define our capital allocation framework and make sure that it’s -- that we balance actually our cash allocation needs in function of our company’s strategy. And therefore, we work with a couple of buckets or pillars as we know them, and we will dynamically allocate capital over these pillars. Obviously, first pillar is our organic growth. I think we have been able to demonstrate that we can grow organically with some good return on investment as well. We will definitely continue to look for acquisitions and quite a large portion of our cash will be allocated to execute that strategy. We will continue to pay dividends, and obviously, we will consider buybacks, potentially buybacks to cover our treasury share needs, but also potentially beyond as well. Obviously, all of this is subject to any change in market conditions for sure. If we then move to the next slide, and this is the result of our capital allocation strategy, EVS is issuing a new dividend policy for the years 2025 to 2027. The dividend is currently fixed at €1.20 per share per year. This is a growth of €0.10 per share per year as well. And just for a reminder, we will pay in May 2024 -- at 2025 the final dividend of 2024 after an interim dividend that has been paid in November 2024 of €0.50, we will propose a remaining dividend of €0.60 per share in May 2025. Obviously, subject to market conditions and subject to the approval of the Ordinary General Meeting of the shareholders.
Serge Van Herck: Thank you, Veerle. That brings me to the conclusions. So, conclusions at this moment in time, I think they are clear what our key activities and focus points will be for 2025. So, first, of course, we will continue focusing on the consolidation of our leadership in that LiveCeption environment. We are clear market leaders, we even see our market share further growing throughout the years and we’ll continue to further invest in that environment, of course. Second topic, which is clear, I hope for everybody is that we further grow in MediaCeption and MediaInfrastructure. We continuously further invest in the technologies and the commercial support to make sure that we can grow that revenue as well. You definitely heard now about the third topic, where we indeed further double down in North America. So, we invest in the team, we want to make sure that we further grow that commercial pipeline, that we further grow the level of quality of service that we provide to our customers. So, we are convinced that this will generate further growth in the future. And last but not least, we will selectively develop adjacencies. So, remember what Benoît has been saying before about that large bank in the U.S., for instance, that placed in a very large order for MediaInfrastructure, we’ll continue to focus on that through channel partners, probably to indeed selectively develop such adjacencies. And that brings me to my conclusion slide. A few topics that I’ve been forward here. So, our 2024 figures clearly prove that we are progressing well towards our BHAG. We see that our EPS for 2024 supports the dividend payment of €1 -- €1.1 for the past and you hear you heard the need for talking for the future that will provide €1.2 per share for that next period. And an important topic, of course, here is that we project a revenue guidance of €195 million to €210 million, which is clearly reaffirming our growth potential, even in a year without major events. And I’m repeating myself, but that’s part of the conclusion, of course, we expect to further grow North America, as we see considerable potential to accelerate our growth. And next to this targeted investment, we will continue to control our expenses. As such, we will ensure a balanced growth as to support our long term profitability model. So, I think that concludes our presentation. I hope that you see indeed that we are quite happy with the progress that we’ve been making over those last years. That 2024 was a really special year for us celebrating 30 years, but also achieving new records when we look at our revenue with very strong financial basis, of course. So, although quite happy about the 2024, and quite happy or optimistic about the future, we see indeed the opportunities that are in front of us, showing us that our strategy of sustainable growth with PlayForward is definitely achieving its objectives.
A - Serge Van Herck: That brings me to the question-and-answers at this moment in time. And I see some hands raised and I see that the first one is…
Veerle De Wit: Alexander.
Serge Van Herck: Alexander. We will unmute you to ask your question. We don’t hear you yet.
Alexander Craeymeersch: Okay.
Serge Van Herck: Yes. We can hear you.
Alexander Craeymeersch: So, hello. Alexander from Kepler Cheuvreux. So, first off, of course, congratulations, a good set of results. And I’d like to touch on two teams being capital allocation and outlook. On the capital allocation front, I was just wondering what drove the decision to fix the annual dividend at €1.2 per share for the next three years, because from the presentation, I get a bit the impression that you already have an exact acquisition project in mind. And the second question on capital allocation would be, if you would ever go in depth, could you remind us of your comfort level in terms of leverage? Maybe I’ll let you answer these two and then I will go to the outlook questions.
Serge Van Herck: Okay. Veerle, you want to take that one?
Veerle De Wit: Yeah. I think in terms of capital allocation, and obviously, this is --- we set ourselves internal targets in terms of what do we want to allocate to which buckets in terms of free cash flow. As mentioned, we first want to reserve cash for organic growth, then we want to reserve cash for inorganic growth. Is it because we have particular targets in mind? No, it is because it is an integral part of our strategy. So we need to reserve cash to execute on that. And then the third bucket is indeed dividend policy, where we fixed ourselves a percentage in terms of free cash flow or a range, at least in terms of free cash flow that we were happy to allocate to our dividend strategy. And that range allows us to fix the dividend for the next three years at €1.2 per share. So it’s as simple as that. In terms of some debt, yes, we did do a firepower exercise a couple of months ago and definitely it has only probably improved ever since we did that exercise. I think the exercise dates around four months to five months ago and that exercise actually demonstrated that we potentially have a firepower just going to banks. So our own cash with the possibility to go to banks of around €300 million. Doesn’t mean that we will invest that, obviously, because obviously, it changes the entire dynamics of the company as well. But that is the debt capacity that we have, according to external sources.
Alexander Craeymeersch: Okay. Thank you. Very clear. So then on the outlook, also two questions on this. So could you may be shed some light on the size of the pipeline versus the order book? Is that half of the size of the order book? Is that double? Because otherwise, this pipeline and the growth in the pipeline doesn’t really tell us much? And then the second question on this would be, you mentioned that the pipeline grows 18% versus prior year. But of course, prior year, if I recall, there was a part that was Big Event Rentals, I think it was about €8 million. Was that included or excluded in that comparison base? Thank you.
Serge Van Herck: Okay. Thank you. Let me try to answer that one. So the size of the pipeline, I think, is of such a nature that we feel confident to announce the outlook. And we are for obvious reasons, not giving too much detail about and for, I would say, competitive reasons, and we don’t want to give exact numbers on that pipeline. But I think when you see that pipeline growing over the years, and you see us being confident about announcing our outlook, it’s clear that the pipeline is considerably increasing, and also in absolute numbers. And I’m sorry, I’m not going to be more going more into detail. But that’s, I think, a competitive information that we would like not to share here at this moment in time. So that was about the size. And what was the second?
Veerle De Wit: The second question was the reference to the 18% growth, but I can answer that one. So it excludes Big Event Rentals. So we distill that out of the pipeline when we make those comparisons.
Serge Van Herck: Yeah. And let me just make a comment here on because indeed, I know that many investors think that when we have those even years, we have a huge amount of revenue coming from that, which is true and not true. And from the close to €200 million revenue that we’ve done in 2024, €15 million comes from Big Events, which means that 7% to 8% of our revenue came from that. So we have to put that into balance them so that number of Big Events influences our pipeline, but not double that, of course, because as I just said, the impact on revenue is only between 7% to 8%. I hope that answers the question. And then we can go to Hugo, who has also raised his hand. Can you unmute, Hugo?
Hugo Mas: Can you hear me?
Serge Van Herck: We can hear you.
Veerle De Wit: Yes.
Hugo Mas: Yeah. Thank you. Also, from my side congratulations with this nice set of results. I have three questions. First is on the difference in market dynamics between LAB and LSP. Can you elaborate a little bit on that? Do you also expect in 2025 different market situations in the LSP market countered by better markets in LAB.? So a little bit light on that one. And second question is on MOG. It contributed €0.5 million in revenues in 2024, although it was only acquired in the fourth quarter. Is it fair to assume that it will be close to €3 million for 2025? And then you mentioned a few times that you would double down in North America. Is that because you want to concentrate more on your existing clients and try to sell more at your existing clients or is it really trying to attract a new set or a new type of clients in the U.S.? Thank you.
Serge Van Herck: Okay. Thank you, Hugo, for those questions. So talking about LAB and LSP, the market dynamics, they are different indeed. LSP, those live service providers are offering services typically to those LAB customers. So they have a competitive pressure, of course, in competing with similar companies to provide services to those LAB customers. So there is a higher competition amongst themselves that we see. There are big regional differences. When we look to the European market and EMEA, we see a high competition and clearly a battle between LSPs and a challenge to grow their revenue. When we look to North America, we see a completely different picture. We see that many LSPs are doing quite well and are growing. So it really is something that we have to look at on a geographical level to understand what the situation is. But for -- I think that it’s right to say that the LSP market is the most challenging and the most competitive one in Europe, while in North America it’s not that competitive. I’m not saying it’s not competitive, but we see that they are growing and the events, the fact that important events are growing also in North America is helping in that. The Live Audience Business, we definitely see that for us, some of them, when you think of broadcasters, they are under pressure to reduce their operational costs. But that’s an advantage for us because that typically means that they need to invest to be able to reduce their operational costs. Most of their operational costs are linked to remuneration and the size of their teams. When they need to reduce their operational costs, they need to find ways to reduce the number of people working for them or working on the live production. So there is a challenge to do more content creation with less people in this respect and this is where our solutions can help them going forward. So in that respect, it’s definitely a different market dynamic that we see. Overall, when we talk about our price setting power, we’ve been talking about that for a few years now. We still feel that we have the capability to pass on the cost increases. So we can indeed pass those cost increases to our customers thanks to our pricing power and we see no reduction of that pricing power in that last period. For MOG, looking to their revenue, in 2024, so €0.5 million, mine that grew up to €12 million, that might be the case. But as important for us is the capability to include some new technologies in our products, which will have a positive impact on, for instance, our MediaCeption sales. The MOG acquisition is also for us interesting because it gives us access to engineering and other people. If we think, for instance, of our, and it’s a team at Veerle where we do transformations, corporate digital transformation in the company and where we are using, for instance, external consultants in Belgium. Well, we think of having more colleagues in Porto to lower the cost. So it’s not only about technology, it’s also about having access to a larger workforce readily available with high competence at an interesting cost level when you talk about MOG. And doubling down in North America, looking to Benoît, if you want to take that one, I’ll be happy that you answered that one.
Benoît Quirynen: Yeah. So definitely we want to increase our portfolio of customers in North America, and especially through channel partners. So that means that, yes, we want to continue to serve our existing customers for sure and we want to upsell new solutions to our existing customers. But we certainly want to have new customers. And the U.S. bank example that was presented before is just one example. But we see traction from different kinds of customers in LAB producing their own content in NALA, and we see appetite from our channel partners to address these customers with EVS solutions.
Serge Van Herck: Thank you, Benoît. So it’s indeed a combination of both. It’s indeed addressing existing customers, further improving the quality of service that we provide and then also further expanding our market coverage. As we know that there are indeed customers that we have not seen yet and that we are eager to see in the next period, of course. I hope that answers your questions, Hugo.
Hugo Mas: Yes. Thank you. Thank you for these details. Okay.
Serge Van Herck: You’re welcome. And I think that Maxime Stranart is next on our list. And I’ll ask Michelle [ph] to unmute you.
Maxime Stranart: Hi. Good morning. I hope you can hear me well.
Serge Van Herck: We can. Brilliant. So, sorry, I’m here on behalf of David Vagman. He apologizes for the absence today. So three questions on my end as well. Firstly, on VIA-MAP, if you could elaborate a bit on the commercial traction. You mentioned that the project is now live on the three continents. Any sales traction you see already over the medium-term? Secondly, looking at the investment you mentioned in the U.S., could you shed some light on the components of those investments in terms of FTEs, well, OpEx natures and so on? And thirdly, cash was a major positive surprise in the release. Could you maybe elaborate a bit on the potential targets you have to continue to improve receivables in the years to come? And that would be all for me. Thank you.
Serge Van Herck: Okay. Thank you, Maxime, for those questions. So let me start with your first question on VIA-MAP and the commercial traction that we see. So if you remember also the presentation that we did at the end of last year during our Investor Day, we talked about the different market shares that we have with MediaCeption. And in this case, VIA-MAP being part of MediaCeption, we see quite some good traction. Al Jazeera is a nice example of one of the orders that we already sent. But if you remember also that slide, we saw some larger competitors like companies like Avid, like Grass Valley, who had larger market shares than us in that environment. We definitely see more and more opportunities in our pipeline coming from those customers, because for different reasons, customers understand that their roadmap is not what they’re expecting and the CR is definitely matching their expectations. So we see worldwide different customers coming in, knocking on our door. And we hope that by NAB, we’ll be able to announce some more that have signed up with us. So in that respect, we really feel that commercial traction that is happening in the different regions of the world. Down under in the Middle East and Europe and in North America, we are quite optimistic about what’s happening at this moment in time. So what we have been already announcing last year is what we are seeing happening at this moment in time. Talking about U.S. investment, Veerle, do you want to take that one?
Veerle De Wit: Yeah. So it’s a little bit a combination of resources. So we’re planning to add approximately 20 resources throughout the year 2025. It’s going to be gradual, for sure. So that is basically an OpEx investment. We will also actually invest in a hub somewhere Central America for different reasons, actually. First of all, for a 24x7 support reason. So Central America is close and to East Coast and to West Coast. So we will be able to serve our customers from a much broader perspective. So part of the resources are indeed support and operation resources and we will put them centrally in America. We will also make sure that that central hub is a training center, actually, as to make sure to train both our EVS team members, but also potentially customer team members, make sure that they have the optimal training facilities throughout the U.S. as well. So that is obviously the facility is going to be rather an OpEx investment. So OpEx investment into training into facility equipment and into IT infrastructure, it’s going to be a place that we rent and we want to rent that place in an area that is very prone to broadcast industry. So we’re continuing the search at this point in time, and hopefully are able to progress on our intentions very, very soon.
Serge Van Herck: And if I can add to that, Veerle, just to put those numbers into perspective, we plan to hire 20 new colleagues and sales and retails. Today, we have about 50 colleagues in North America. So that means indeed that we’re adding 40% to our team in the U.S., and that indeed, we are adding a new hub in the U.S. to support the training, as you mentioned. Last question was about a cash surprise receivable surveillance. That will be also one for you.
Veerle De Wit: Yeah. I think, so definitely, we have been focused on our collection of receivables over the past few periods. So I would say ever since 2020, end of 2023, it became an attention point. It became an attention point because basically, our trade receivables to sales were close or above 40%, which is quite high. We had an ambition to bring that down to 38% in 2024, with an ultimate target of around 35%. But honestly, we made quite some progress because we ended the year at 34%. And not only is our receivables to sales at 34%, but it’s also very, very healthy. As I mentioned in the beginning, 76% of that number is actually or was not due at the end of December. So I can only applaud the finance team, but in collaboration also with the sales teams to make such much -- that much progress on the receivables. Will we be able to maintain that 34%? I think it’s going to be a challenge. And honestly, as I mentioned, I think the target ratio for us is around 35%. But what is important is to keep that ratio under control now, close to that 35% mark, with a very strong position on the current receivables. So make sure that we definitely manage those age receivables to a minimum. But we don’t expect huge improvement above that.
Serge Van Herck: Okay. Thank you, Veerle. I hope that answers your question, Maxime. And next on the list is Tamsin. We will open the line for you.
Tamsin Quayle: Hi. Tamsin Quayle here from Otus.
Serge Van Herck: Hello, Tamsin.
Tamsin Quayle: Just on the capital allocation policy, you talk about investing in organic growth and I just wondered, what does that mean for CapEx? Does that mean that you --we see more CapEx projects as part of that?
Veerle De Wit: Yeah. I think, Tamsin, for instance, the double down in North America, what we just mentioned, it’s a combination of both. It can be OpEx and CapEx. Do we expect our CapEx to dramatically increase? Not at this point in time, but, yeah, for the time being, we look at it project-by-project. And obviously, every project will have to have a return on investment. So this is what we did with the double down in North America as well. Okay, we’re investing now, but with a return in investment starting as of 2026. And so we’ll continue to manage it that way, make sure that we allocate cash to those projects that do foresee a return on investment in a pretty short timeframe. Can it be CapEx? Yes, it can be as well. The first example here is rather OpEx-based.
Tamsin Quayle: Okay. So that’s within the margin target that you’ve given anyway, is it?
Veerle De Wit: Yes. Yes.
Tamsin Quayle: Yes. Yeah.
Veerle De Wit: Yes. Exactly.
Tamsin Quayle: Okay. Thank you.
Serge Van Herck: Thank you, Tamsin. I see no other hands raised at this moment in time. Michael, we are opening your microphone.
Michael Roeg: Good morning. Can you hear me?
Veerle De Wit: Yes.
Serge Van Herck: Yes. Perfect.
Michael Roeg: I had some issues with unmuting. I have a question about the backlog for 2025. It looks like it covers 53% of the midpoint of your sales guidance, and that is slightly higher than the 51% and 50% from the years before that, but prior to that, it was only 30%. So something has changed within your model that you have much more visibility than in the past. And I was wondering, are clients still ordering much sooner than before or are projects in your backlog much bigger than before, or is there a lot more subscription revenue business included? That’s the first part of the question. And the second thing -- second question is, do you think that you can improve that visibility even further in the next five years to say covering 60% of your next year’s business?
Serge Van Herck: Veerle?
Veerle De Wit: Yeah.
Serge Van Herck: Do you want to take that one?
Veerle De Wit: Okay. So I think, first of all, the huge difference between the 30% that you mentioned and the years where we started the year with 50%, 51% is definitely also the impact of the big tech contract that we signed. So, obviously, that big tech contract gives us a very long visibility and provides us some stability and definitely push that ratio upwards. Second element is our delivery terms. So I believe our customers are used to our delivery terms at this point in time, which are at 20 weeks on average, I would say. In reality, it’s probably less. But theoretically, it’s on 20 weeks. So, yes, that does allow us to get orders sooner than that we would have had in the past. In the past, we’re referring to periods 2020, 2021, where the delivery terms were quite different. From a subscription base, I think, the impact is marginal. It might be better from an SLA point of view. So also from an SLA point of view, we secured already quite a lot of SLAs for 2025. Subscription point of view, I think the impact would be minimal. But it’s actually a little bit on the three drivers that you mentioned before. I think we’re progressing on each of those drivers. We expect it to go to 60%. I think it’s probably unlikely unless we really still see a difference in terms of SLA business. So the more longer term SLAs that we will sign, the more visibility you will get. But I think the difference is going to be marginal. I’m not sure we will get to the 60%.
Michael Roeg: Okay. Maybe just the technicality then. That large -- that very large contract, that is about €10 million a year, right?
Veerle De Wit: No. It’s rather €5 million a year.
Michael Roeg: So then I would have to lower your backlog for the new year by €5 million to remove that impact. Then it’s still very healthy compared to the past. But indeed, the drivers are clear.
Serge Van Herck: But the projects as well and we see more projects, larger projects. So that’s also adding to our visibility. That is an additional element.
Michael Roeg: Okay. Now it’s clear. Even adjusted for that €5 million from the big contract every year, the trend has certainly improved, which gives more visibility. Then the second question I have is just a small technicality. The press release mentioned net cash of €75 million?
Veerle De Wit: Yeah.
Michael Roeg: But I calculate €87 million when I exclude the lease liabilities.
Veerle De Wit: Yes.
Michael Roeg: So I just want to have confirmation the €75 million is including lease liabilities.
Veerle De Wit: Correct. Yeah.
Michael Roeg: Okay.
Veerle De Wit: Yeah.
Michael Roeg: Good. So then the beat was even stronger than I had expected. That’s it from my side. Thank you.
Veerle De Wit: You’re welcome.
Serge Van Herck: Thank you, Michael. Okay. I don’t see further questions at this moment in time. No hands raised. So I think I will be able to conclude here. And I’ll take a moment also to thank all of my colleagues, all of our customers, all EVS operators, all stakeholders that helped us in detail to further propel EVS to a new record result, of course. So we’re very happy with that. And as you’ve seen in this presentation, we feel proud of what we do and we feel also that we have quite some sort of growth potential in front of us. So, in that respect, we hope indeed that 2025 will be an even year and a new record result. But time will tell, of course, but we feel quite confident that this will be the case. So thank you for participating. I really appreciated that you spent the time with us. I hope this was indeed quite informative and that we were able to answer your questions. Of course, if you have more questions, we’re always available, Veerle and I and Benoît, to further answer additional questions that you may have. So thank you for attending and I look forward to see you soon somewhere. Have a nice day.
Veerle De Wit: Bye.